Operator: Good afternoon, everyone. Thank you for joining us on today's webinar. Before we begin, I'd like to announce that we will be referring to today's earnings release, which was sent to the newswires earlier this afternoon.
 I'd also like to remind everybody that the conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update the information contained in this call.
 During the webinar, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release.
 Also, I'd like to mention that following the presentation, there will be a questions and answers session during which you can submit questions by selecting the raise-hand icon at the bottom of your screen. Your questions will be pulled in the order that they are received and which point you will be prompted to unmute your microphone before speaking.
 With all of that, I would like to turn the call over to your host, Fred Vandenberg, Chief Executive Officer. 
Frederick Vandenberg: Thanks, Rebecca. Today, we have myself Fred Vandenberg, I'm the CEO; and Allan Benedict, Head of [ Biz Dev ]. Today, we're going to talk about 4 main things. So just an overview of what we're trying to do. I'll later do some financial results, then I'll turn it over to Allan for a more in-depth talk about our business development activities. And then I'll come back and talk about our product reviews.
 Our vision, our core expertise lies in technology around music marketing. We envision expanding our range of products and services to directly support artists in these endeavors. Together with our customers, we'll be redefining the music marketing landscape. I think we've already done that. Play MPE was first-to-market digital distribution platform that displaced physical delivery of CDs. And I think we intend to continue that process down. We envision providing innovative marketing and music management solutions that both ensure both our customers and our investors interests are well served and we drive profitable growth.
 Play MPE is our core business. It's a platform that is designed to deliver music for marketing purposes. We have developed a very well-respected service in our core markets and forms a cornerstone from which we can expand. We have a solid core group of customers and a solid core of recipients. Now I'd say that with a little bit of a caveat with the recipients because recipients, there's an appreciable amount of turnover. And so making an effective marketing distribution effective requires that we address that high turnover rate. And this is really one of our keys to success and is one of the values that we provide our customers. In fact, our Play MPE distribution lists, the people that we engage with are about 4x, almost 4x is likely to have an interaction with a release than our largest customer in the United States.
 A few years ago, we undertook a massive project to move all of our international capabilities from a PC-based platform to an online platform. And then about mid fiscal 2022, we moved that into a maintenance mode. And so we opened some capacity to do the things that we think are going to increase the revenue curve to accelerate revenue. Our core strategy or the thing that we think is going to make a difference is investment into our inter product, be it new products or services or things that will help us to grow revenue. So entering 2023, about 6 months after this movement of staff into a maintenance both on the international features, we had a few things that we needed to address. Allan will talk about the marketing aspects and he'll highlight what we've done there. And I'll just introduce product. Essentially, what we needed to do when we entered 2023 is make sure we have a solid product road map, make sure we're executing on that product road map, make sure that we have a solid marketing plan, make sure we're executing on that marketing plan and making sure that those 2 functions are coordinated.
 So in addressing product, we appointed Rocio Fernandez as a new product development manager, Director of Product Management, I should say, about midyear. And the addition of [ Rotor ] team had a helpful and immediate impact. It's perhaps a little bit hard to say immediate because you just can't turn that on a dime. But Sergei is our Head of Engineering, and he's built a solid engineering team, but that engine needed a steering wheel. And so I'll talk a little bit later about the product reviews, but in terms of our product development investments we made in the second half of the year, we began on a project that is meant to allow our customers to fully self-serve to create an account, select lists and "pay and platform." And so that's a larger project that won't be completed until approximately this time next year. But there's little components, maybe not little, but there's components of it that we're delivering as we go that and do make an improvement to the platform.
 The first one is list selection improvements. Now this is really an ability for our customers to see what's available, select it to see what the list is, what music goes to it, to safe favorites, those kinds of things. Basically, it's just an improvement in the list selection process that is designed to increase the sales of our list. Sorry about that. Then also we added going to be a little bit mysterious here, but there's a list creation and list maintenance feature that we've added. Now earlier, I said that our lists are 4x as active as our largest customer. But it's really something we're quite proud of. We do a very good job of maintaining recipient list and it's critical for our sales for many of our customers, and it's a value-add for all of our customers. But we added something in the latter half of Q3 that helps us build and maintain lists. And our goal there is to have more things to sell essentially. And the more things you have to sell, your revenue is going to grow, we added probably about, it depends on how you measure it, but about 5% to our list capacity in the months since then.
 At the beginning of the year, actually, this is something that happened at the beginning of the year non the latter half. But Allan will talk about it a bit more detail, but we added international lists. We are unique in the sense that Play MPE is still probably between 5% and 10% of the global market for this business. So I think we have a lot of room to grow. But we're also, I believe, the largest supplier of this service. And so what makes us a little unique is that when we go into a particular market, those customers in that market have the ability to distribute the music outside of that market with us, absent like a competing service just wouldn't have that capacity. So what we did at the end of the year is take our lists that we have for each individual territory and make genre specific lists. Again, I don't want to steal too much of Allan's thunder.
 Later in Q4, we started on 2 different new things in product development. The first one is recipient source content requests. That's probably not how product would describe it. But one of the best ways for Play MPE to grow is by the recipients requesting content through Play MPE. Now you see that in the United States, our independent revenue has grown by about an average of 9% every year-over-year for the last more than a decade, 12 years probably. And that's really because of word of mouth.
 A lot of times our recipients are saying, just send it to me through Play MPE. Well, now we have an in-platform ability for customers to do that. Now this is kind of the first step into a fully functioning recipient sourced content request, but this should talk already that wasn't delivered until after year-end just recently, but we started working on it during the year. Same with client marketing, we added this feature just recently, but in Q1 of fiscal 2024. But we updated our [ charting ] displays and made it easier, much easier for clients to post images of where they sit on the chart. You'll see that clients are quite happy with when they are charting on Play MPE, like the top 10 downloads in Australia for a country or something like this. And so we're hopeful that this allows our clients to do the marketing for us.
 Okay. So the last one, this is a thing that we're probably more excited about. This is a Meter, MTR Meter is a stand-alone business. Now I posted something on my personal link and it's also on the website, but it's a link to an article that was written about us recently that does a fairly good job of explaining what Play MPE does and why Meter is now a thing. But we launched Meter in beta mid later half of Q4 and what it is? Meter is a digital tracking service. So if you send your song to Play MPE, you want to get it played on radio, Meter will help track that. We'll actually show you when it's played, where it's played. That's certainly. We soft launched it earlier in the year, beta launched it mid-Q4. And we're working through market adoption, marketing breakeven analysis, and we're just figuring out the business plan for it basically. But it's a really interesting business that our initial customers whoever in the market to the Play MPE customers.
 Okay. So I'll take you through the financial results. For the year, currency adjusted revenue is up just under 2%. Allan again will tell you a little bit more in depth about what happened with our revenue. But in Q1 and Q2, revenue was down 5.5%. Part of that was foreign exchange, unfavorable exchange rates, that didn't exist in the second half of the year and some volume decreases. But again, Allan will take you a little bit more through that. But a number of things have taken hold in the second half of the year to result in a little bit more than a 6% increase in revenue. I mean these aren't the growth rates that we're hoping to target. But it does indicate some positive returns on the various investments we're making, whether it's in marketing, lead generation or a product where you'll see improved list selection features, all these kinds of things.
 Overall, salaries and wages is the largest expense by far. It was consistent versus last year. Part of that is favorable exchange rates on the expenses as the U.S. dollar rose relative to the Canadian dollar, where most of our staff is, but there has been some changes. There was approximately a 30% increase in product development, and that's just a fully functioning product team to build and move out MTR Meter and to continue to invest in our product, offset by some temporary declines in Biz Dev staff, some declines in operations because it was a little bit higher in the prior year and then some temporary declines in general administrative staff.
 The one thing I did want to highlight, and this is in our 10-K annual filing. But net income for the year was just a little over $300,000. We wanted to show this chart to show it would have happened had none of the software development costs if none of them were capitalized. And this just shows you that there's small negative income, there's some noncash expenses in there like stock-based compensation, that sort of thing. So we're just approximately cash flow even breakeven, maybe a little on the negative side, but it's approximately we're investing for growth. And that's where we are.
 So with that, I will turn it over to Allan. 
Allan Benedict: Thank you, Fred. Good afternoon, everyone.
 As Fred mentioned, as we started to undertake those product improvements in the product development, we did implement a few things meant to increase revenue in the meantime. One of those, which also already Fred alluded to, is the international genre list that we launched early on in the fiscal year. These lists were created using mainly existing recipients. Our operations team was able to build these out relatively quickly. And these genre lists were put in place to answer a desire from independent artists to expand their reach globally and much more easily. So we began with 8 individual international genre lists, about midway through the fiscal year, I'd say.
 We added an international noncommercial and community targeted list that is really to serve where a lot of radio begins playing more of the independent smaller artists, these community stations and the noncommercial versions, that's quickly become one of our most popular lists and the usage of these lists not only really picked up in the second half of the fiscal year. But at the end of the year, we also added a new international holiday list, which has so far been a big hit as we move towards the holiday season.
 With these international lists, they've contributed to the average sale or the average revenue generated per release. That's risen consistently quarter-over-quarter throughout the fiscal year. The specific impact here is a little difficult to carve out, but we also implemented pricing changes to a select number of our most popular packages. These changes had a positive impact of about 4%. This impact is offset to some degree by the volume declines that Fred mentioned and then, of course, the negative FX.
 Speaking to the volume declines, there are a few reasons for those declines. There are temporary economic conditions in certain markets, especially for independent clients who need to watch their budget, so a little more, for instance, some of the territories have been slower to recover coming out of the pandemic as well. A good example of this is Australia, which was one market that was pretty severely affected by COVID, I think there are lockdowns and the kind of shutdown of their industry lasted longer than a lot of others. But looking at the second half of this past fiscal year, both the volume and revenue has rebounded.
 We also had a temporary reduction in staffing on the business development team, and we really moved to undertake a hiring process that make sure we have the right people with the right skill sets focused on the right markets. I'll touch on that a bit more in a moment, but the team was fully settled and fully staffed by the end of the fiscal year. These volume declines were not connected to our pricing increases as segments in which we saw volume declines were disconnected from those increases. So there isn't the connection there. And as I mentioned, we've seen volume rebound in the second half of the year.
 So moving through that, I wanted to go over kind of our overall acquisition strategy. Our strategy itself is universal, but we obviously utilize different tactics depending on what stage each market is in. To put it simply, new recipients need relevant and desirable content to become and remain engaged. And then new senders or new clients need to have those engage recipients in order to see the value of delivering their releases and really putting Play MPE to use. In new markets or just markets earlier in that customer journey, this leads to a longer education process where we work with strategic clients, making sure we're sourcing the right content, making it desirable for the new recipients.
 We do that through a series of things like free trial periods, pilot agreements, anything to kind of get that content flowing towards the recipients. The international lists are actually a great asset here as we're able to kind of funnel them into lists that are being actively used and get that content flowing into their accounts a lot more quickly. Once those recipients become more engaged, we're able to leverage that value to grow the client base and then expand into the independent sector as well. In markets later in the journey, content is somewhat easier to come by through some existing relationships, whether that be other teams within a label that uses us for certain genres, introducing us to other teams within the same ecosystem or through more proven and established marketing channels.
 Speaking to marketing, our marketing team underwent a few changes in the middle of the fiscal year, and we were able to bring in staff with its stronger expertise, specifically in digital marketing and the analytics side of things. As they dug in, some issues became apparent in our SEO and conversion tracking and some of the analytics side of things. And this discovery led to a full live and we're really able to begin implementing some fixes in the late stages of the fiscal year. So far, we've seen positive progress there as well. For instance, our digital ad conversion rate is now north of 20% and improving through those fixes, like continued keyword research, better analytics, better targeting, better testing, all those types of things.
 We've also implemented some optimized landing pages, some strategies to reengage past leads, basically, a series of improvements to make the discovery and investigation stages even easier on potential customers and get them into the onboarding process a lot quicker. Speaking of the lead generation, these fixes and just continued improvement on the digital side of things have led to a 20% increase in lead generation, specifically for the second half of this fiscal year, and it's more than double compared to the second half of last fiscal. The conversion rate or the processing rate, if you will, remains steady despite both the increases in the volume of leads and despite those staffing changes we experienced earlier in the year. So we're expecting this to improve even further as we move into the new fiscal year and those fixes and improvements continue to get better and better.
 Looking at a few of our target markets, looking at Latin, which I know is one we've talked about on past calls quite a bit. The Latin market is still in the early stages of the customer journey. I'm sure it seems that the process should be theoretically faster than it is, but it becomes more difficult when a platform like Play MPE is pretty much an entirely new concept that we're introducing to a region.
 For instance, the education process for recipients actually took a lot longer than we anticipated since they really haven't been approached with a system like this before. They're used to kind of doing things in one way, and it's almost a whole new world to them as we kind of show them what [indiscernible] player can do. Once we clear those hurdles and got recipients onboarded to the platform and created those new lists, our active recipients within the region have grown year-over-year and quarter-over-quarter as we go through. And most importantly, they remained active. It's one thing to get a rush of new recipients and have them stay active for a month or 2 at a time, but sustaining that activity is something that clients really see value in.
 The industry setup of the Mexico itself and the other Latin territories as well is also somewhat different from many of our existing territories where the large kind of multinational major record labels have slightly less of an overall impact and that void is filled by whether it be independents or third parties such as distributors, large management companies. So this difference has forced us to adjust our tactics to a degree, and we started to make some inroads there in the later stages of the fiscal year. Speaking to Latin, the revenue here is obviously still small, but we've seen the revenues generated by these lists grow quarter-to-quarter with the majority coming in the second half of the fiscal year.
 Some other changes we made in Canada, we launched full commercial pricing for individual genre lists within Canada that was put in place in the middle of the first quarter. With these new saleable list deliveries to Canada from outside territories increased throughout the fiscal year, specifically in the second half as well. And for new genres in the U.S., which I know we've touched on in the past, look at the U.S., we've mentioned that we have a dominant position in quite a few genres, country were very strong, Christian Jazz, et cetera. But there's still some areas that are planning for growth. In the U.S., we're able to leverage existing relationships a bit easier to make this kind of a smoother transition, for instance, as I mentioned before, a team with our label community is to another team focused on a specific genre and the name recognition and trust is already there inherently.
 Focusing on these new genres goes back to what I mentioned earlier about making sure we have the right people with the right skills focused in the right areas. There was earlier or, I guess, later in the fiscal hereon, our competitor within the rock space in the U.S. eliminated their staff, and we were able to bring one of their apps over to our team. And this kind of expertise doesn't only go a long way to clients, but it also allows us to further improve upon both their distribution lists, with their experience at captions working alongside those proprietary list management processes that Fred mentioned and also just the ability to connect with clients who might not have direct relationships with in the past.
 With any new genre, it can take time to change habits. Obviously, especially in a market like the U.S., a lot of these promoters or potential clients that are doing the same thing for quite a long time. But with a more fractured marketplace, the product improvements, Fred mentioned, really give us an advantage, things like easy lift selection, security reporting, et cetera, it really kind of sets us apart from other options they may have.
 One of the aspects of Play MPE that does always has the part and always helps us with to genres and territories is just outstanding customer support on intuitive products and a positive client experience. So over the years, our metrics in this area have only improved.
 And with that, I'll have to then go to Fred to you well lock you to some of the product reviews a bit more. 
Frederick Vandenberg: Thanks, Allan. So when I talked earlier about the changes we made to product, the product development process to help us accelerate revenue, whether it's new business or whatever. The one thing I would like to take a little bit of time is to talk about where we are because I think we have a really solid core foundation of happy clients. And I think it's probably good just to tell you guys about that. The first one is this is what's called an NPS score. This is a score rated from our users of Caster, the distribution side of the platform. We essentially get feedback from 4 main sources. We get feedback from recipients on the recipient side of the platform, we get feedback from the customers, the distributors of content, whether it's full service or self-service, meaning that they go through our operations team or they operate the software themselves and they distribute and they handle everything themselves.
 And the fourth one is tech support. This one here is the centers of content. And you see it right now, I think it's at 74 here on this list. It depends on when you measure it. But throughout the year, we grew from 62, which in this rating here is great to an excellent score of 74 a benchmark for our industry. It depends on which industry you think we're in, but it ranges from anywhere from low 30s to low 40s, and we're well above that. And we're really happy with that. But it also go in the right and improving too, as we've made improvements to the platform. Tech support, we get a CSAT score of 98.7%. It's ridiculously good. And that's something, our senior tech support manager is Pete, and he runs that department. And this is something we've consistently had rate reviews of our more than a decade. And you get feedback. We're constantly getting feedback that's get good scores and ratings and all that sort of thing.
 Then also we collect feedback informally. I'm going to go through these and just sort of slowly present a few of them, but we have dozens and dozens of these. I'm going to go too slow, so you can read it, but maybe in the reviewing of it on the website, you can review it. But these are really just people that are sending content throughout the world, and they're really happy with Play MPE. So I think it's just a solid core base of happy customers that we can build from.. And with that, I'll just turn it over to questions. 
Operator: Great. Thank you, Fred and Allan. [Operator Instructions] So I don't see any raised hands, but we do have a written-in question and if you want to take a look at that, Fred and Allan. So it's fast forward in 1 year, what is a successful year look like for major revenue-wise. 
Frederick Vandenberg: That's a good question. I don't know. We are really going through, for Meter, we are working through the client adoption phase. It's like how do we market? How quickly will our customers come on board? What's the price point? And that will inform, we have a breakeven analysis on the other side, sort of a cost, our cost per Meter will rise as the number of stations where monetary rise and they will also rise as the number of songs were monitoring. So we want to get a good sense of both the breakeven analysis there before we figure out what our next steps are. While we're doing that, the product team is still working through a bunch of features that are probably necessary to put our best foot forward in the first product. But we'll figure that out. We'll figure out how fast that business grows. It will be a bit of a function of what our analysis tells us over the next few months, half a year. Yes, I think that's it. I don't want to predict revenue. 
Operator: We do have raised hand from Gerry, if you want to unmute your microphone and go ahead. 
Unknown Analyst: A couple of questions, Fred. First of all, you kind of showed on your slide in the back half of this current fiscal year that your revenues are up 6% to kind of the lower first half. For investors going forward, what kind of revenue growth rates would want to expect now given some of the product development you did or advancements in different market conditions on the MTR? Are we going to see some double-digit growth in fiscal 2024? 
Frederick Vandenberg: We are doing a lot of different things. I think the entry in 2024, I think the major area that we need to address is our marketing function holistically. I think we've done an excellent job of addressing the various issues of product development in 2023. But we've added some resources just recently to focus in on our markets marketing strategy. And our product development is improving our revenue simply from improving the list selection process. So you get international lists, which increases your average sales size. You have improved list selection features that improve again the average sales. I think if Play MPE revenue is to grow double digits, we have to make progress in our core markets, but also expanding those distributions globally.
 Like I said earlier that we were sort of unique in the sense that we are present in a lot of different markets, Australia, the Nordics, Canada, United States. And I'm not aware of any other service like ours that has the breadth of use that we do. So I think we can capitalize on that to grow international distributions. We also have to make more progress in those target markets of the U.S. new genes lagging, South Africa. South Africa is a reasonably tiny market, but everything helps. So it's a roundabout way of saying, I don't want to put numbers, I don't want to predictions. If you had asked me 5 years ago, I thought we would have been ahead of 10% for sure. But that's ultimately where that's our target is to grow by a lot more than 6% for sure. 
Unknown Analyst: On your OpEx spend as a percentage of sales going forward, is there going to be a major variation in the different spend bundles? Like do you expect you track your R&D as a percentage of sales, your sales and marketing percentage of sales, your administration to sales based on where it is today as a percentage of sales? Do you see increases or decreases? Or how should somebody model that going forward? 
Frederick Vandenberg: Yes, that's a good question. I mean, ultimately, we are investing a lot right now for growth, whether it's in business development activities or product development. We see a lot of potential. Like MTR is the first real new product we've had in a long, long time. And we want to build that out. So you'll see depending on how aggressive we are in approaching that market, you might see some growth in infrastructure costs. I wouldn't expect to see too much in staffing costs for that, but you'll see incremental cost there. But that's going to be a decision that we make going forward to see how aggressively we can go globally in that business. But as far as Play MPE goes, I think we need to invest in growth to capture those core target markets. And the margins, I think, once we do that are pretty healthy. Look, you'll see there's a gross margin on our income statement, and you'll see healthy margins from revenue growth as we grow. 
Unknown Analyst: As a whole, do you think OpEx as a percentage of sales will stay the same, rise decrease? Or give me any... 
Frederick Vandenberg: It will decrease, operating expenses to sales, right now, we're almost breakeven. So our target is to grow rapidly and revenue should far outpace expenditure growth. 
Unknown Analyst: On the MTR product, I mean, you talked about this product, releasing and things like that. Can you give me a revenue model for this product? I mean, i.e., is going to be a subscription usage base, is it only for the independent labels or musicians used with Sony use this product or they have their own. And maybe the size of the opportunity for this product. Can you just give a little background of one we could anticipate. 
Frederick Vandenberg: Sure. Well, that's a good question, Gerry. Okay. So if you bear with me, the model is that we have a subscription fee. So you monitor a song times the price times a number of months over potentially years, I guess. And that's the first step into the industry. So you'll get customers that have one song that they want to monitor and you get customers that will want to monitor a number of songs. We're figuring out if we build that pricing based on the number of territories, you monitor. Right now, we're only in Canada only in a small group of people, but we're charging by song times months monitoring. Now what's interesting is that the big players in the industry for this really, there's quite a contrast between what we do and what they do. Typically, like a larger company like Sony or Universal or whatever, would get that reporting data from some charting based software where those charting platforms, they monitor fewer radio stations in a local territory but they monitor all songs. It's close to all songs as they can. And that tends to be quite an expensive endeavor. So a small label that would be our first customer really can't afford to buy and pay for the information for all songs. They just want to look at their song. The advantages that we have is that we can price it low enough that those customers can now buy that information. In contrast, we digitally monitor, those charting platforms monitor in different ways, and they're not nearly as cost effective, but they provide a slightly different service. I think as we grow, there's no reason why Sony or a larger label will not be able to buy our service, and we think we can be competitive in those endeavors, especially because of our efficiency and because we can monitor globally. And once we get all the radio stations added well, I shouldn't just say radio stations. I think some people get misled when I talk about radio stations. MTR monitors digital broadcast. So terrestrial radio stations that are broadcasting in the Internet, which this is a new opportunity because terrestrial stations are duplicating their broadcast digitally now for the most part. And there's also digital-only stations, so this is kind of a new thing that is becoming a bit more prevalent in the industry where you have Internet stations and they're growing. And you have broadcasts, you have narrowcasts, narrowcasting is really like a very targeted specific narrowcasting of your music. So as Meter goes out, grows, you can monitor a bit more than what's traditionally monitored and you can grow globally, and there's no reason that a large label can't use that. The product road map for Meter is kind of in its infancy right now, but it's really kind of an interesting one where it's a bit of a messy thing when it comes to royalties around the world. You get places that aren't even monitored because it's just not cost effective to do it. You'll get a very manual process for reporting royalties, you don't get one solution around the world. And I think this is your blue sky eventual product development for MTR. But it's something that gets us really excited. Like we think we can cost effectively monitor stations around the world and you monitor all songs. It's a long ways away, but it's an enormous opportunity. we've projected what our potential market potential is. I don't want to say that number because it's huge, and I don't want to manage expectations a bit, but it's a big market, it certainly would [ dwarf ] Play MPE. 
Unknown Analyst: Can you give us a scale of the market, let's say, in the U.S.A. alone or in Canada alone or that give a sense to investors and... 
Frederick Vandenberg: I'll get that to you later. I'm not going to opine on that right now. 
Unknown Analyst: No problem. And finally, my last question. Your largest customer is still Universal. Is that correct? 
Frederick Vandenberg: That's correct. 
Unknown Analyst: And your relationship with Universal stands right now, the contract is up for renewal again? Or you have another year left? 
Frederick Vandenberg: Contract's up for renewal at the end of March, April 1 next year. We're in talks with them right now. 
Unknown Analyst: And the relationship stays [indiscernible] 
Frederick Vandenberg: Yes. I mean, we're in talks with them. I think they don't want to overpay, but at the same time, the value that we provide Universal is gigantic compared to the fees they pay us. And the buying decision for Universal isn't really in one location, ultimately, we do a lot of things for head office, these global admin features that provide tremendous value for efficiencies and control globally. And they provide really positive impacts for the Universal's revenue that are really hard to quantify.
 It helps in marketing endeavors that be it communicating ISCC codes so that your royalty collection is faster or more accurate or coordinated marketing efforts that produce the results. But you'll never do AB testing with our system, like you can't say, well, that song went out in system 1 and song went out in the system 2, which one did better because it really depends on when it's done. And if you do 2 different songs, then those 2 different songs are going to be wildly different in terms of their success. But there's anecdotes. There's a narrative there that is really strong for us. And we know we have a loyal customer base with Universal holistically. We have got a great mutation. The NPS scores that we showed at 74, I think that includes Universal, but we can separate Universal out and the NPS score is the same. It's great. So yes, I think we provide great value. They don't want to overpay, and we got to get enough revenue to pay for the things that we provide... 
Unknown Analyst: My final question, as you alluded, you're near cash breakeven, maybe be cash flow positive in 2024. Any other potential uses of your cash position? 
Frederick Vandenberg: Well, we are doing the buyback right now. It's always challenging to buy but we think we can do both. For a small company like ours, we do have a fairly large cash position. I think it's a little bit higher than 20% of our market cap. But anyway, that I think will be nice to have if we decide to be aggressive in the MTR, the Meter market acquisition, there'll likely be a small, well, I don't know what the quantum will be, but there will probably be a negative cash flow in the beginning as we ramp up the number of stations we are monitoring and then the customer adoption comes after that. So that's essentially the breakeven analysis that we need to do. And we have to figure out how much risk will take on and the cash in our bank is next to half for sure. I mean, ultimately, if we went global and didn't have any revenue for 2 years, we would still be fine. So there is some comfort in that. 
Operator: Thank you, Gerry. So we do just have one other question that was written in and [ Sonya ],you did have your [ 100 ]. So if you do want to unmute your microphone with any follow-ups. Feel Free. But [ Sonya ] asked, you've been growing Play MPE business for the last several years, has anything surprised you? 
Frederick Vandenberg: Perfect. I've been asked that question before. There's a few questions in these calls. It's always a bit of an opportunity to look back and think about what we've done or what we need to do to be successful and what the success look like. And there's been a few questions in these calls that have start with me, and that's one of them. The first time I was asked that question was before COVID, I am pretty sure because of overture surprised me. But I said, my answer at the time is no, nothing has surprised me. And well, even as I was answering it, I was thinking it's not really quite right.
 I mean I knew that, if you go back far enough, I knew that we had to make significant changes in the company with staffing to make us more successful. so that didn't surprise me in the sense that I knew that, that problem existed. I think it probably surprised me, there's things I learned along the way, you make hiring decisions, sometimes you have a wrench when you need to hammer or basis or something like that. So there's things you learn that you got to get the right people in place and that is not always a quick endeavor. I think it's with people management, making sure that people are on the same page, making sure people understand what we're trying to do. All those things is an evolution of learning.
 I don't think that surprised me necessarily, but certainly, I've learned some stuff. The investment that we had to do for Universal for the global admin features that provide them just a gigantic amount of value, that's a project that is extremely hard to value before you do it. But I think our estimates were low and I mean there's probably some scope creep in there for sure, but they're really kind of things that were dramatic improvements for the costs. So we did them. But ultimately, the whole investment there took longer and was bigger, so they did not surprise me. I don't know, I could ramp on about that for a while because that's one of the questions that does sit with me for a while. 
Operator: Okay. Looks like we have no follow-ups to that and no other question. So thank you. 
Frederick Vandenberg: Okay. Thanks, everyone. It's always a short turnaround for Q1. So we'll speak to you in January.